Operator: Ladies and gentlemen, thank you for standing by. I am Mina, your Chorus Call operator. Welcome and thank you for joining the Alpha Services and Holdings conference call to present and discuss the Full Year 2024 Financial Results. All participants will be in a listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] At this time I would like to turn the conference over to Alpha Services and Holdings’ management. Gentlemen, you may now proceed.
Iason Kepaptsoglou: Good morning everyone. Thank you for joining us. I am Iason Kepaptsoglou, Alpha Bank's Head of IR. We're the full year states, so the two items on the agenda are the results for the year and the plan for the future. We'll tackle them in that order, switching between Vassilios Psaltis, our CEO and Vassilios Kosmas, our CFO as needed and you get to guess who's who. However, the whole team is here and we will take Q&A in the end and with that over to our CEO, Vassilios, the floor is yours.
Vassilios Psaltis: Thank you, Iason. Good morning also from my side and thank you for joining. A lot to cover indeed, so let's dive in, starting with Slide 4, please. 2024 has seen us make marked progress towards our business plan objectives. We have delivered 35 cents of EPS with 9% annual growth in normalized profits, translating into a 14% return on tangible equity, while our capital ratio has climbed to 16.3%. Our reported profits reached 654 million and we have accrued 43% on that. That means 281 million or 12 cents per share for distributions and this is subject, as always, to regulatory approval. We will propose to use 75% or 210 million for a buyback, reflecting the views of our shareholders on the superior return of buyback generated, given that currently the stock is trading. Those of you that have been following us for a while will remember that we identified several strategic priorities at our Investor Day in 2023. On Slide 5, you can see that we have been making solid progress on these. Our profitability has doubled, driven by structural improvements across our business divisions coupled with targeted reallocation of capital. We have managed to meet our three-year target for capital generation a year early and we are rewarding our shareholders with increasing payouts on the back of that. We are dynamically adjusting to a changing environment, ensuring that we are best positioned to maximize the value we generate whilst we continue to invest heavily on the key enablers of our business plan; that means digital capabilities and our people. On Slide 6 you can see the tangible rewards that we are reaping. Our performing loans are up 16% over the two years. EPS and return on tangible equity have doubled whilst capital generation has increased even faster. Moving on to Slide 7, it should thus come as no surprise that 2024 has come in well ahead of our targets for the year. Across all metrics we have been able to beat our guidance. We have every intention to continue to build upon this track record of delivering on our promises. As you can see on Slide 8, the uplift we have seen in profitability has come from two sources; firstly, through the structural improvement in the profitability of our business units and, secondly, through the reallocation of capital from dealing with problematic assets in the past to funding future growth. Remember that we have been extremely diligent in ensuring that we fund profitable growth and profitability is used holistically not only by ensuring sound pricing and underwriting policies, but aiming to service a wider range of needs that our customers do have and optimizing the capital that we allocate for that. This holistic approach has allowed us to see improvement in profitability despite spread pressure. Slide 9, the operational work that we are doing is what allows us to drive these results. What you see here is just the tip of the iceberg as we would need a dedicated event to provide you with all the details. In brief, retail is fully digitalizing everyday banking needs under a new service model that has freed up our people to devote time on complex customer needs. Wealth continues to scale its engine and is customizing its investment proposition. Wholesale has operationalized its redesign teams with industry experts now providing specialized advisory services and financing knowledge for clients. On the international front, 2024 has been dominated by the improvement in the return of the capital employed in Romania but Cyprus is also making strides in growing its book. When it comes to our balance sheet, we have optimized the capital stock, we have ample amounts of excess liquidity and we are well positioned for rate declines, all while reducing NPEs below 4% and that is two years ahead of the plan while delivering the capital target of 16% one year ahead of the plan. And last but not least, we have completed $2.6 billion of sustainable disbursements in just two years. Turning to our partnership with UniCredit now for an update on Slide 10. OneMarkets funds bought by our private banking and affluent customers are now up to 400 million while the joint venture in bank Astro is expected to close early in the second half of 2025. Our wholesale offering continues to benefit from our partnership, looking across indications, trade, finance, guarantees, letters of credit, FX, clearing, trading and treasury factoring as well as brokerage. As we have said before, we have also begun to pitch jointly for certain TCM deals and we are now expecting to expand also to ECM and M&A. The impact of this relationship are both direct and indirect, which means we are unable to give hard number quantifying all this effort. But even though certain impacts have direct incremental benefits, as with the sale of all market funds, for example, in most cases our partnership with UniCredit gives us a competitive advantage that differentiates us from the rest of the pack, one that we aim to fully utilize to enhance the value that we can create for the benefit of our stakeholders. And lastly on Slide 11 before I hand over, I think I have demonstrated clearly how we are delivering well ahead of our plan. This is flowing to the bottom line both in terms of earnings growth but also importantly in terms of capital generation as that is what allows us to fund future growth and distribute value to our shareholders. In two years, we have been able to deliver 100% of the three year plan for capital generation. We have deployed 0.6 billion to fund the growth of our balance sheet generation. Just over 400 million has been set aside for distributions to shareholders and we still have significant firepower over and above our management targets. We'll come back to this towards the end of the presentation, but for now to run through our 2024 results in more detail, Vassi Kosmas over to you.
Vassilios Kosmas: Thank you, Vassilios, and hello to everyone from my side as well. A lot to cover today as the focus is likely on the outlook. We'll do a speed run of results but please do feel free to come back with questions in the end. Let's jump to Slide 13 please. A few one-off items worth pointing out in the quarter before we look into recurring results. Gross of tax the top off of our inorganic NP reduction cost us about 40 million, but even that has been counterbalanced by better results elsewhere, mainly on Skyline which is our REO transaction. Other than that we've also accrued 25 million Euro donation to the Marietta Giannakou program for the reconstruction of schools, while there's also an 8 million top up to the voluntary separation scheme provision as the perimeter has now been finalized. Lastly, NOTA [Phonetic] is also a positive circa 20 million tax write-off that is also including the other adjustment here. So the tax charge you're seeing is recurring, all in 36 million Euro negative in one-offs. Next slide on main P&L items. Operating income has grown both in the quarter versus last year despite pressure on the top line as the contribution from fees continues to grow and the quarter saw a strong financial income result. Costs have admittedly landed somewhat higher than expected even if we account for the seasonal effects we see in Q4 and we'll talk about that in a bit. On impairments, Q4 has seen customary cleanup, but I think it's clear that we continue to face a benign environment when it comes to asset quality. Lastly on the bottom line, reported profits at 165 million despite the one-offs profits, for the whole of 2024 at 654 million up 6% versus last year. On a normalized basis, performance was even better with profits coming at 861 million, up 9.4% for the year. Next slide on balance sheet items. Performing loans, up 8% in the quarter and a 12% jump in the year. Customer funds also up 2% in the quarter with better trends in deposits but also solid AUM growth with the total growing also in the double digits, up 14% year-on-year. Tangible book value was 3% up in the quarter and if we add back the amount spent on the buyback growth was actually 5% in the quarter. Same goes for the annual growth rate which amounted to 11% when we adjust for payouts. And then on capital we have finished the year at 16.3 in terms of CET1 adding 77 basis points in Q4 with the deconsolidation of Alpha Bank Romania more than offsetting the growth in RWAs. On Slide 16 we show the two main components of revenues. Net interest income was basically plateaued. Higher average loan balances have offset the impact from lower rates, so you can see that the contribution from loans has not come down much this quarter. Note that this was achieved on a steeper decline in base rates as the three month arrival was down some 55 basis points in Q4 versus a 24 basis points decline in Q3. On deposits, clearly not much of a gain partly due to the lag effect in repricing time deposits which you can see in the jump of the deposit beta this quarter from 18% to 22%. We have had a benefit this quarter from repricing, but it's not much. Most of the benefit is ahead of us, but whatever small benefit we've had has been offset by the large volume growth we've seen before. Onto the non-commercial side, the contribution from bonds continues to grow as expected, coming both from higher volume and better trades as reinvestments are as per our guidance. Lastly, on the liability side, the quarterly benefit you see here is due to the repayment of certain debt instruments, only NII was practically flat in the year. On the fee and commission side, another very strong quarter benefiting from a record quarter for disbursements and a further boost from our asset management business, even though we had already met the budget for AUMS for this year. So there was less transaction-related fees this quarter on account of lower sales. Overall, the year has ended up 12% up versus 2023 and 5% above our 400 million guidance. We bought back the cost slide as Q4 needs a bit of explaining, so let's switch to Slide 17 please. There are few legacy items than when combined with IT investment has kept depreciation a tad higher than we had liked, but you will see later in the presentation this trend should be coming to an end soon. On staff costs, the voluntary separation scheme was delayed somewhat versus our original planning, which has meant that in Q4 we saw some overlapping with replacement hires, leaving staff costs higher in the quarter. Again, that should normalize starting with Q1 this year. And then on G&As you can see the usual seasonal partner that's mainly driven by taxes and marketing expenses at the end of the year. Let's move to Slide 18 on the two main assets we have. Performing loan balances, we saw 2 billion of net credit expansion in the quarter on account of steep increase in dispersion for corporate with current strength into the end of the year, beating our updated guidance for the year and setting us up for a solid 2025 on account of higher staffing balances. If we look at the full year, business disbursements stood at 10 billion, up by just over 30% year-on-year. And encouragingly the same 30% is true for mortgage and consumer disbursements where growth is now at break even and no longer a drag on balances. On customer funds, we've seen a 1.3 billion influx of deposits this quarter with more than half coming from individuals. Be mindful that there's a bit of seasonality in Q4, so if we look at the full year numbers, deposit growth was up 5.3%, again above guidance. The proportion of time deposits was marginally higher in the quarter at 26%. AUM net sales stood at circa $100 million in the quarter with an equivalent valuation effect, while for the year we have added 1.8 billion with an extra 0.9 positive revaluation. This means that our total AUMs were up 17% versus last year, a noteworthy achievement to say the least. Slide 19 on asset quality, as was foretold with Q3 results, the NPE ratio is now down to 3.8% on account of growth in the denominator as well as the reclassification of circa 250 million portfolio held for sale assets. Given the composition of our portfolio, we've also seen a jump in our coverage ratio to 53%. Cost of risk came in at 67 basis points for the quarter on account of some year-end cleanup with a full year at 63 basis points, a bit better than our 65 basis points guidance. Slide 20 on capital to finish up with results, just 14 basis points of capital generation organically in the quarter on account of the high loan growth we saw and hence RWA consumption. The year coming at 152 basis points. Transactions have added more than 100 basis points this quarter bringing the total for the year to 164. And then of course there was a further 34 basis points of dividend accrual in the quarter. Total for the year, just above 100 basis points dividend accrual. With that, let's move to the business plan and Slide 22 please. I think you will agree that our business plan assumptions are fairly conservative. We see rates dropping down to 2% and staying there. This is 15 basis points to 20 basis points tighter than the current forward yield curve. We expect a bit more than 2 billion in the net credit expansion for the year and a similar number for deposits. Note that we assume a flat market share in both loans and deposits, so what is reflected here is our expectations for growth in the market. No real improvement in the deposit mix and hence no real movement in the deposit meta [Phonetic]. You will find updated information around NII sensitivity in the appendix, but that's effectively the bedrock of the outlook for NII. Sure enough we will see pressures from lower rates and spreads, but as we highlighted at our Q3 results, we have a solid starting base in terms of volume and good prospects for growth ahead of us, a stale win from security for our security books coming bear fruit, and that's exactly what we're showing on Slide 23. As mentioned, NII is plateauing and we're fairly confident that the first quarter of 2025 will be the bottom for our NII. Loan rates and loan repricing will be the biggest force for the year but the long list of offsetting factors that will see us finish the year with net interest income over 1.65 billion. Achieving two years of lag in NII while rates half from 4% to 2% reflects our defensive rate positioning we have discussed previously. There will be some incremental pressures in 2026 from the lag effect of re-pricing and even lower average rates, but, bearing any major surprise, we should go back to basics with NII driven by loan growth. Slide 24, our defensive NII profiling will be coupled with continuous improvement in fee income. As you can see, the government initiatives that were announced in December, we see our fee income rebase to circa 400 million. From that starting base, we expect to largely repeat the 2024 performance and grow by around 13% in 2025, drawing on the strength of our wealth management franchise as well as benefiting from the increased activity we're seeing on lending and transaction banking. I think the impact we're seeing from the UniCredit partnership is quite clear here and you can see that most of these items we're working closely with them. After making a relatively large step up in 2025 where we see various initiatives bearing crude, we see a bit more than 40 million growth per year or 9% per annum for the next two years. Out to 2027, this gives us about 22% of revenues. We thought it was worth being a bit more explicit about our other revenues for the coming years. We're seeing more client volumes coming through our trading line, so we now expect to make 80 million of recurring trading income going forward, and you will see that we expect our other income to increase for the coming years. Mind you, this is not related to the income coming out of our 10% stake in Romania. That's going to come just above the pre-tax line and thus isn't included in revenues. What we have here is an increased contribution from our advisory and investment banking businesses as well as a step up in contribution of recurring rental income to our P&L which in the near term will mostly come from contracted exposures through our participations in Gaia and Skyline as well as selective investments in prime real estate assets. Costs on Slide 26, we need to highlight that 2025 we see us benefit from a one-off reduction in depreciation as certain IT assets have reached the end of their useful life. That's the main reason that we expect the cost base to be marginally up versus 2024 whereas in reality the underlying run rate is closer to 3.5%, as we do see inflationary pressures both in wages and general expenses, while we're also ramping up our investments to capitalize on revenue generating opportunities. Obviously, similar to what we discussed about Q4, the delayed VSS will have a knock on positive effect on staff costs for 2025, curtailing growth. Turning to asset quality, we're pretty much there, so the next slide mostly serves to underline our commitment to retaining a resilient balance sheet. Our NPE ratio will continue to fall. I'm sure you do the math and realize that it's mostly denominator effect. So yes, we are being a bit somewhat conservative on what we're forecasting in terms of inflows, especially in the context of benign asset quality environment we're experiencing. We do expect a mild escalation of the cost of risk as we're managing smaller portfolios of NPEs post the cleanup and that should see the coverage remaining above 50%. Last but not least, let's talk about capital on Slide 28. In 2025 we expect to fully absorb the impact from the finalization of Basel III and retain our capital ratios at current levels despite significant growth in the balance sheet. Mind you, the impact you see here from distributions incorporates a period of at least 50% as well as the impact from DTC acceleration. Beyond 2025, we expect a similar evolution to our capital base, obviously with no further impact from regulatory changes, so as CET1 is expected to grow to 17%. As a result, the ratio of DTC to CET1 is expected to decline to 23% by 2027. And note that our capital will consequently remain above 21% with MREL above 28%, leaving us ample amounts of excess capital. To summarize on Slide 29 please, we remain focused on maximizing the value that we create for our stakeholders. Our earnings are sustainable and should be on an upwards trajectory. We have anticipated the reduction of interest rates and have positioned our balance sheet accordingly. Our franchise strengths are well aligned with the evolving environment, making us confident of the growth prospects for our business and we will continue to show strong discipline on maintaining our efficiency and improving our asset quality profile. The output is that our earnings, profits and profitability should grow. Our commitments are unchanged. The focus remains on delivering on EPS profitability, capital generation and distributions. And as you can see on the Slide, we've taken this a step further and provide you with reported numbers, as we don't expect much divergence from normalcy going forward. To make life easier for you, we've also gathered the main P&L items that we have referenced across this presentation in a single slide, Slide 30. Now back to you Vassi.
Vassilios Psaltis: Well, thank you. A few more words from me as we are currently at an important juncture. Let's turn to Slide 31 please. I think our story should be clear to everyone by now. It is already apparent that our strategic actions alongside our balance sheet positioning will allow us to maintain an upwards trajectory to our bottom line starting from 2025, despite the challenges from falling rates. We have defensive NII profile. We're capturing the tailwind of loan growth, we're stepping up our target for fee income generation and are seeing the partnership with UniCredit yield benefits. These dynamics will work even more so in our favor beyond 2025 where we see earnings growing by 8% on an annual basis, as you can see on Slide 32. The structural growth potential of the region where we operate will allow us to maintain a pace of net credit expansion above the 2 billion mark. At the same time, our franchise is uniquely positioned to benefit from the long-term uplift in the penetration of fee generating banking services, which coupled with the partnerships we have put in place, will allow us to improve the profitability of our business. Slide 33 please. The trends of 2025 and beyond allow us to maintain a differentiating positive EPS growth trajectory in the medium term, which we believe differentiates us from the rest of the pack. EPS is expected to grow by 6% per annum over the planning period, well above consensus estimates and before accounting for the effect of any buybacks, let me underline that. Buybacks should be viewed in the context of our overall capital allocation, so let's look at that in detail starting with Slide 34. Our first and foremost priority is to fund profitable loan growth that is the core of our business. Performing loans are expected to increase by circa 8 billion in the planning period that means 23%. Growth of our balance sheet will absorb close to 1 billion Euro of capital and as Vassilios demonstrated earlier, this is well within our organic capital generation capacity. Let's now turn to Slide 35, please. Beyond funding organic growth, we aim to have a sustainable payout. Last year we reinitiated dividends with a 20% payout. This year we set aside 280 million to pay 43% of reported profits, which we aim to increase to at least 50% in 2025. Evidently, our capital generation capacity suggests that we ought to be paying nor for 50% of profits on an ongoing basis. And when it comes to the split between a cash dividend and a buyback, the preference is clearly in favor of a buyback at this stage, this shouldn't come as a surprise to anyone. Given where the shares are trading, it is hard to compete with the return on investment coming from a buyback. We're still making sure that we built a progressive cash dividend so we can eventually reach the industry average yield, but this is, as far as we are concerned, the best allocation of funds. The 75% to 25% proposal in favor of a buyback has been decided in light of the above so that we can ensure a progressive increase in cash dividend whilst maximizing the impact that the buyback can have. Finally, it's worth noting that given the pace of capital generation and our strong capital position, we are comfortably able to fund both; an acceleration in loan growth as well as a more generous distribution. Let's turn to Slide 36 please. Ordinary payouts are not the end of the story. Our excess capital provides us with significant firepower to do more. Extraordinary dividends are not on the agenda with the regulator for now, but we are not going to sit idle if there are opportunities that can create value for our shareholders. Any bolt-on acquisitions, we need to satisfy strict criteria as we are particularly diligent when it comes to allocating capital for M&A. These need to be accretive to EPS. To return on core equity one need to generate a minimum return on investment of 15% and not impact the ordinary distribution. And of course, most importantly, we need to accelerate the delivery of our strategy. But instead of going over the theory let's talk about practical examples and let's start with Slide 37 please. One example of such M&A is the recent 100% acquisition of fintech pioneer FlexFin, an innovative factoring platform primarily serving Greek and Cypriot small and medium enterprises, an unpenetrated market segment with significant growth potential. FlexFin, which previously attracted many investors and serves a large scale clientele, offers best-in-class data driven IT infrastructure within a customer-centric environment whilst offering a tailored product range adhering to strict regulatory requirements. FlexFin will be merged with Alpha Bank Factors, this is Alpha Bank's existing factoring businesses that has a long successful history and market leading position. FlexFin's innovative and advanced IT platform and accelerated digital offering is expected to enhance efficiencies and reinforces Alpha Bank's commitment to SMEs as a key pillar of economic growth. The deal will bring higher revenues from fast market penetration and cross sell opportunities in the high potential factoring segment as well as cost effectiveness leveraging FlexFin's strong IT platform. This ensures a strong return on investment in line with the group's ambition. In addition, the acquisition strengthens our team as Alpha Bank welcomes a number of highly skilled professionals from FlexFin, including the two Co-Founders, to enhance its expertise on the space. Looking forward, we aim to exceed 1 billion Euro, factoring financing in the coming years targeted 4,500 small and medium enterprises. The transaction is expected to be completed in the second quarter of 2025 with benefits starting to accrue within 2025. As you can see now on next slide, Slide 38, yesterday evening we have also announced an agreement on the key commercial and legal terms for the acquisition of substantially the whole of the banking assets and liabilities of AstroBank in Cyprus. Cyprus is one of our core markets and we are excited about the macro prospects for the country. What is more, the ongoing consolidation in the market has given us the opportunity to become the third banking partner for corporates and individuals that look to diversify or append the relationships that have with the two large players. This acquisition solidifies our position as we will reach a 10% market share in terms of assets. Signing is expected in the second quarter of the year with closing by the end of 2025. On Slide 39, let's please turn into that to discuss the financials of the deal. We expect the profits coming from Cyprus to double to 100 million, with Cyprus contributing more than 8% of assets and closer to 10% of profits. As a cash transaction, it is obviously highly EPS accretive to the tune of 5%, but importantly it comes with a small impact capital of circa 40 basis points, meaning that the return we will get on the regulatory capital employment will be north of 40%. As a result, the transaction is expected to add 60 basis points to group returns. It is important to note that as the transaction has only just been agreed, our business plan projections do not include this impact. So to keep it simple, the circa 12% return we have projected for 2025 would go to above 12.5 once the deal is consummated. Slide 14, I hope that we have been abundantly clear on how we're planning to create significant value for our shareholders in the coming years. We expect to have superior earnings growth in the coming years above market estimates and with more coming from buybacks. Earnings growth will lead to significant capital generation over the period. On a minimum 50% payout ratio, our three year plan will allow us to distribute 1.3 billion to our shareholders. That still leaves 1.4 billion as excess capital to be distributed for years to enhance our earnings generation capacity under strict criteria. Together they represent some 65% of our current market cap. The whole management team is laser focused in delivering on these objectives. I appreciate it has been a long presentation at the end of what has been a long week, but hopefully you have found it to be interesting and, now, let's please open the floor to questions.
Operator: Ladies and gentlemen, at this time we will begin the question and answer session. [Operator Instructions] The first question is from the line of Eleni Ismailou with Axia Ventures. Please go ahead.
Eleni Ismailou: Good morning and congratulations for this strong set of results and on the outlook. Just one question from my side. There is a lot of talking in the market about M&A activity. The available assets will be limited. So the four banks in the country will be competing for the same assets. What gives you confidence to expect that you can deploy your excess capital in a profitable way in the other periods?
Vassilios Psaltis: Well, Eleni, I think we have already demonstrated that, haven't we? But let me go step by step on this one. I don't think it is a question on appetites. Our core equity Tier 1 capital is very high with a current buffer of, as we said, about the fill in and this -- let me underline that, this allow us to do simultaneously, on the one hand, invents organically and capture the existing strong momentum, then it allow us to distribute a material amount of our earnings back to shareholders and, thirdly, pursue several inorganic opportunities that enhance either a product offering, as it was the case of FlexFin, or boost our market share in international operation, as it was the case with Astro. Therefore, the criteria that we have put out, we are already demonstrating that we definitely adhere to them and this is our North Star when we are looking at opportunities. And, trust me, in the current environment there are plenty full of opportunities around. We have a clear focus on both on actions that are absolutely compatible with what we're doing, so strategically and financially it has to make sense. Now so far it hasn't been anything on the market on the two transactions that we have done. We've managed to negotiate with them privately in absolute focus with the respective sellers, which demonstrated that we were clearly the best option for them and they decided to go unilaterally. So I think this is something that we probably would be looking forward also in other situations.
Eleni Ismailou: Thank you very much and again, congratulations for the strong set of results.
Operator: The next question is from the land of Kemeny Gabor with Autonomous Research. Please go ahead.
Gabor Kemeny: Hi team. Just a brief one from me. I believe if we look at your guidance relative to the consensus, one key delta is the performing loan growth outlook. You expect to get to 41 billion and I believe that is around or even more than 5 billion Euros more than what consensus assumes. So my question is, how can you substantiate this guidance, please? What do you think will enable you to grow the loan book by that substantial amount? And which sectors, which segments do you see as the most attractive? Thank you.
Vassilios Kosmas: Thank you, Gabor. I would say on our performing loan assumptions, primarily, as mentioned on the presentation, we're projecting the market to be growing at around about 9 billion to 10 billion per year and us holding us a stable market share throughout this period. I think given that Greece has been achieving these numbers in the past couple of years and given the GDP growth is projected up to the tune of 2% for the years to come, I think that's a fair assumption on our side. With regards to sectors and areas where listing is going to come, we expect this to be pretty consistent with what has been happening so far. So to a good extent has to do with infrastructure, has to do with the transition of energy, renewable energies and, as always, for Greek bank there's a bit of shipping into the mix. Hope this answers your question.
Vassilios Psaltis: Gabor, let me put another couple of points which I think are important for the next three years to come. The first is that we have the privilege of having this relationship with UniCredit, which is one of the largest commercial bank in the space. We have a privileged relationship also as far as syndication is concerned. Therefore we are starting seeing a good number of credits, good credits beyond Greece and we are starting to participate on that based on our criteria as well. The second is that as far as Greece is concerned now we are seeing a more, probably it's not the right word, but I'll say that -- is a more democratization as far as growth is concerned. The growth is starting now to trickle down from the very large corporation into the large SMEs and within the three year period you will see that also that it will trickle down also down to the SBs, at least those SBs that would have done all the right choices in terms of getting closer to larger companies and create a cluster around them. So this is an opportunity and we have already done steps. The FlexFin transaction, for example, is one that allows us to have a come together of our larger clients with the smaller clients of FlexFin and create a full cluster around the value chain creation on them. And not to mention that retail has not yet kicked in. Look, for example, the disposable income in Greece and the per capita GDP in Greece versus Bulgaria, and look where retail is in Greece and look where retail is in Bulgaria, stark contrast. These are things to come.
Gabor Kemeny: That's so fair. Thank you for the color. I appreciate it.
Operator: [Operator Instructions] The next question is from the line of Memisoglu Osman with Ambrosia Capital. Please go ahead.
Osman Memisoglu: Hi, many thanks for your time and the presentation. Just to confirm, looking at your EPS guidance on reported and normalized, adjusted, we can say maybe there's a small bit of VES [Phonetic] left for next year and then really no more material NPE cleanup charges. Would that be a fair conclusion? Thank you.
Vassilios Kosmas: There is a one-off that we have put in place in 2025, it is 50 million and it does relate to potentially things that we will need to take care of in the coming year.
Osman Memisoglu: Would it be more VES or not necessarily?
Vassilios Kosmas: No, I don't think we can specify exactly what it relates to.
Osman Memisoglu: Understood, thank you.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to management for any closing comments. Thank you.
Vassilios Psaltis: Well, thank you very much for your participation. I'm really looking forward to meeting with a good number of you over the next weeks as we're going to be road showing. So thank you once again and we're looking forward to meeting you back with the first quarter results which will be sometime in May. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded and you may disconnect your telephone. Thank you for calling and have a pleasant afternoon.